Operator: Good day, everyone, and welcome to PBF Logistics LP Third Quarter 2022 Earnings Conference Call and Webcast. [Operator Instructions] Please note, this conference is being recorded. It is now my pleasure to turn the floor over to Colin Murray of Investor Relations. Sir, you may begin.
Colin Murray: Thank you, Sherry. Good morning, and welcome to today's call. With me today are Matt Lucey, Executive Vice President; Erik Young, our CFO; and several other members of the partnership senior management team. If you'd like a copy of our earnings release or 10-Q filing, they are available on our website. Before we begin, I would like to direct your attention to the forward-looking statements disclaimer contained in today's press release. In summary, it outlines that statements in the press release and on this conference call that state the partnership's or management's expectations or predictions of the future are forward-looking statements intended to be covered by the safe harbor provisions under federal securities laws. There are many factors that could cause actual results to differ from our expectations, including those we've described in our filings with the SEC. I'll now turn the call over to Matt Lucey.
Matt Lucey: Thank you, Colin. Good morning, everyone, and thank you for joining us on today's call. PBF Logistics continued to operate well in the third quarter. Our consistent financial performance continues to be driven by the reliability of our assets and our safety-oriented workforce. We are on pace to exceed the partnership's full year 2022 revenue guidance of approximately $320 million to $340 million. The partnership's consistent revenues and cash generation provide strong distribution coverage and the ability to continue reducing our net debt. Today, the partnership also announced a distribution of $0.30 per unit. Lastly, with regards to the proposed transaction with PBF Energy announced in July, we expect the transaction will close this quarter, subject to the fulfillment of closing conditions. The process is ongoing, and we may review the partnership and PBF Energy's filings with the SEC for additional information. These are available on the respective company websites and on sec.gov. I'll now turn the call over to Erik for the financial highlights.
Erik Young: Thank you, Matt. Good morning, everyone. Thanks again for joining us on today's call. We reported third quarter net income attributable to the limited partners of $34.9 million. Adjusted partnership EBITDA was $54.6 million, which includes approximately $800,000 of noncash unit-based compensation and environmental remediation costs associated with the East Coast Terminals. During the third quarter, we spent approximately $1.5 million in total CapEx, including approximately $1.3 million for maintenance. For the full year 2022, we currently expect capital expenditures to be approximately $10 million, including $8 million for maintenance and $2 million of regulatory spend. We ended the quarter with just over $541 million in liquidity after repaying an additional $30 million in debt during the third quarter. Our liquidity consists of a cash balance of $45 million and approximately $496 million of availability under our revolving credit facility. Net debt to annualized adjusted EBITDA was 2.1x. Consistent with our commentary on the PBF Energy earnings call this morning, our near-term efforts are focused on continuing to strengthen the financial position of the partnership. Operator, we've concluded our opening remarks, and now we'll open the call for questions.
Operator:
Matt Lucey: Well, thank you very much. If indeed, this is our last earnings call as we suspect, I greatly appreciate everyone's support and interest to date. Have a good day.
Operator: Thank you. This does conclude today's conference. You may disconnect your lines at this time, and thank you for your participation.